Operator: Good morning and welcome to ModivCare's First Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the call over to Kevin Ellich, Head of Investor Relations. Mr. Ellich, you may now begin.
Kevin Ellich: Good morning and thank you for joining ModivCare's first quarter 2023 earnings conference call and webcast. Joining me today is Heath Sampson, ModivCare's President, Chief Executive Officer, and Chief Financial Officer; and Ken Shepard, Head of Finance.  Before we get started, I want to remind everyone that during today's call, management will make forward-looking statements under the Private Securities Litigation Reform Act. These statements involve risks, uncertainties, and other factors that may cause actual results or events to differ materially from expectations. Information regarding these factors is contained in today's press release and in the company's filings with the SEC. We will also discuss non-GAAP financial measures to provide additional information to investors. A definition of these non-GAAP financial measures and to the extent applicable, a reconciliation to the most directly comparable GAAP financial measures is included in our press release and Form 8-K. A replay of this conference call will be available approximately one hour after today's call concludes and will be posted on our website, modivcare.com. This morning, Heath Sampson will begin with opening remarks, Ken Shepard will review our financial results; and then we’ll open the call for questions. With that, I'll turn the call over to Heath.
Heath Sampson: Thanks Kevin, and a warm welcome to our first quarter earnings call. Today, we've reported solid first quarter 2023 results as revenue grew 15% year-over-year to $662 million. Strong top line results were driven by a 17% growth in our mobility business, and 11% growth from our home division, which includes personal care services and remote patient monitoring. Adjusted EBITDA for the first quarter was in-line with our expectations at $50 million. We remain confident in our ability to drive growth and create shareholder value. This optimism is grounded in our commitment to delivering innovative and comprehensive supportive care services, which cater to the evolving healthcare landscape characterized by pronounced shift towards supportive care services that provide better access to care and home based care solutions. Achieving our expectations are visible to our entire organization, and are rooted in our 2023 strategic initiatives, which are two-fold. Building a scalable platform and amplifying and diversifying growth. These two initiatives cut across the entire company, providing focus and clarity for our teams to execute every day. Our initiatives are multifaceted, innate and aim to enable sustained revenue growth and a stable lowest cost operating platform. Our build a scalable platform initiative is centered around optimizing our operations and enhancing our technology infrastructure to ensure we can scale effectively and efficiently. This includes centralizing and standardizing operations and shared services, investing in technologies that are fit for purpose to our customers' needs, and driving efficiencies and operating leverage through realigning and reallocating resources throughout the entire company. Our amplify and diversify growth initiative aims to expand our offerings and customer base through strategic partnerships, new service offerings, and geographic expansion within our current customer base and more importantly to new customers that have historically not been a focus of ours. Additionally, I'd like to provide updates on the recent CMS proposal for ensuring access to Medicaid services and Medicaid redetermination. Recently, the centers of Medicare and Medicaid services released a proposal role titled ensuring access to Medicaid services. The intention of this rule is to enhance access to services for Medicaid beneficiaries, which we wholeheartedly appreciate and endorse. It is commendable that CMS acknowledges the significance of personal care services and the necessity to attract more caregivers to the industry considering the increased demand. Several notable provisions in the proposed rule have garnered attention particularly in the requirement that at least 80% of Medicaid payments be allocated to caregiver compensation. There are a couple of important factors to consider. First, this is a proposal and CMS will receive ample feedback during the 60-day comment period. This is essential to remember that this is part of the standard rulemaking process. The heightened attention on personal care services leads to necessary sophistication, oversight, and regulation. It's also worth noting that the proposed rule indicates this change wouldn't become effective until four years after the final role is issued. Second, if higher reimbursement rate is channeled to caregivers, this should enhance our ability to hire caregivers, resulted in accelerating revenue growth and operating leverage as approximately 25% of our personal care G&A costs are variable. However, we believe CMS should consider all costs associated with providing personal care services. Including care coordinators, recruiters, training, and compliance systems like electronics visit verification among others. The growing attention and support for home and community based services again is commendable. One of CMS' strategic pillars focuses on expanding access, which is vital for our members. Our supportive care services play a crucial role in helping our customers reduce costs and enhance health outcomes. Also, the Biden administration announced an executive order aimed at boosting funding for Personal Care. This move underscores the importance of delivering quality, affordable supportive care services to seniors and others in their home. Next, I'd like to discuss Medicaid redetermination. As many of you know, states were able to begin [redeterminating] [ph] the eligibility of Medicaid members on April 1. The healthcare system is in the early stages of the Medicaid program's re-enrolling members, which we think will last up to 5 quarters. We expect most of the impact from redetermination will be on the NEMT business where approximately 80% of our members are Medicaid beneficiaries. As mentioned last quarter, we anticipate no significant impact on our NEMT membership from redetermination into the latter half of this year. Redetermination will unfold over the next few quarters as said, and our membership could be affected by 10% to 15% before considering new contract wins and just the standard market expansion, which is in-line with our projections that we talked about last year during our Investor Day. We expect the majority of these redetermine members to be lower utilizing individuals, which would lead to a smaller decline in our total trip volume, compared to the overall membership. Additionally, we've been preparing for redetermination over the last several months. When we exited the pandemic in 2020 and 2021, we made a conscious effort to effectively and efficiently transition a large portion of our previous full risk contracts to contracts that are shared risk or fee for service arrangements, protecting ourselves and our customers. These shared risk contracts significantly de-risk the financial impact from redetermination by setting contractual revenue rates, primarily based on trip volumes as opposed to membership. In many situations, we can fully offset the gross profit impacts from lower membership from redetermination as these contracts reset monthly. Our remaining full risk capitated contracts currently only account for approximately 20% of NEMT revenue, compared to 60% at the start of the pandemic. For these contracts, we will continue to have anticipated contracts repricing negotiations throughout the year and annual actuarial pricing resets that allow us to normalize pricing in a post-redetermination environment. As it relates to our membership, we continue to believe that we can grow through the 10% to 15% redetermination [indiscernible] through 2025 based on our new contract wins, existing market expansion, Medicare Advantage growth, and just the underlying Medicaid market growth. In total, we believe that we have encapsulated the impact from redetermination in our 2023 outlook, as well as our 2024 outlook. Now, I would like to discuss our consolidated 2023 guidance and the longer-term outlook. We have maintained our revenue and adjusted EBITDA guidance for 2023. Although our first quarter results align with our internal expectations, we recognize that our guidance anticipates a continuing EBITDA ramp throughout the year. To provide clarity, I'd like to highlight several key factors that reinforce our confidence in this upward trajectory. First, we've gained significant traction in our new NEMT contract wins. This includes receipt of an intent to win award for a new NEMT state contract, a new managed Medicaid contract, and a national contract with a large MCO. Combined, these contract wins are expected to have nearly mid-single-digit annual contribution to revenue, with the contributions beginning to ramp during the third quarter of this year. Second, our specific actions in our mobility division will favorably impact EBITDA growth throughout the year. Our multi-modal partnership model is expected to drive lower transportation cost per trip throughout the year as we narrow our network of transportation providers and we continue to shift more trips to our preferred provider matching the right type of ride with the members' needs. During the first quarter, our preferred providers accounted for 17% of our trips, compared to 11% last year, which led to a sequential decrease in our cost per trip during the quarter. We also expect our omnichannel communication initiative for improved member interactions to drive lower other expense per trip as we provide more efficient and cost effective member communication that reduced calls to our contact centers. We made progress on this front during the first quarter as we reduced calls per trip by 7% sequentially, and 14%, compared to last year. While we also reduced our missed trips by approximately 10% sequentially. In our home division, we also expect to see continued to ramp in revenue and profitability throughout the year. Our personal care team has made good progress in centralizing and standardizing back office functions and certain operational functions as we continue to build for scale. This year, we plan to centralize 12 critical business functions and 100% of our personal care team is expected to be aligned to centralized management by the end of the year.  With ongoing continuous improvement, we also expect continued growth in the personal care hours driven by increased caregiver recruiting and retention, as well as the opening of several de novos. During the first quarter, we opened two de novos and expect to open more than 10 this year. Our remote patient monitoring segment has a healthy referral sales pipeline between new customers and expansion of existing contracts and our enterprise team continues to gain traction with cross-selling opportunities for PERS and E3. In addition to these mobility and home initiatives, we have taken steps to reduce our corporate G&A cost structure to align with our One ModivCare strategy, gain efficiencies as we scale and centralize. Combined, the strong visibility in these initiatives gives confidence in our ability to ramp growth and profitability throughout 2023. In addition to 2023, we remain confident in our ability to achieve our 3 and 3 targets for 2025, which is $3 billion of revenue and 300 million of adjusted EBITDA. I'd like to share some of the key drivers and levers that will help us achieve these long-term targets. In mobility, we expect to increase membership and related revenues from new contract wins and expansion by high-single-digits to low-double-digits over the next couple of years. We have a strong pipeline of state Medicaid and MCO contracts that are coming up for renewal and rebid. We expect to see continued growth within our existing Medicaid market, as well as the opportunity to expand and grow in the Medicare Advantage market. Enhancing access to care is important strategic pillar for the current administration and NEMT remains highly underpenetrated as only 30% to 45% of MA plans offer this benefit. The bottom line is, we are confident that despite some of the near-term headwinds, that there are a lot of tailwinds and opportunity for our mobility business to grow 2024 and beyond. The second lever in the mobility business is reducing transportation cost per trip and this will be driven by our multimodal partnership model as discussed earlier. Over the next couple of years, we expect to reduce our NEMT unit costs or purchase services per trip to the high 30s from $42 per trip today. Our multimodal partnership model will also improve member satisfaction as on-time performance improved over 400 basis points year-over-year during Q1. We are also confident that we can reduce other service expense to 11% to 12% range from 13% today through our omnichannel member communication initiative, which will drive efficiency and operating leverage as we use advanced technologies such as text messaging and IVR, IVA systems and other technologies to communicate with members and overall eliminate calls. In personal care, we remain confident in the long-term drivers for personal care, which include winning new business, low-single-digit reimbursement rate increases, middle-single-digit hours growth, which will be driven by caregiver recruiting and retention and accelerating de novo expansion. In remote patient monitoring, our long-term growth drivers are new MCO contracts led by our E3 solutions and other innovation solutions like value-based care arrangements, which continue to gain traction with our payers and other risk-bearing entities. Our E3 engagement solution really enhances our ability to be paid differently and that's incremental to our long-term targets that I talked about earlier. We continue to gain traction with commercial payers as member engagement and satisfaction are important factors in payer star rating. Although we haven't commented on it recently, I'd like to provide an update on our equity investment in Matrix Medical, which is not currently being recognized current valuation. We have said that it has completed its operational restructuring last year. The benefits are coming too strong, as the company's performance improved meaningfully during the first quarter, including a 40% year-over-year increase in health assessment volumes. While this is only one quarter, we are confident that Matrix is on the right trajectory, which will support our eventual monetization at the appropriate time. We remain aligned with Frazier and we will be able to monetize the minority ownership of 44% in Matrix based on a normalized adjusted EBITDA range in the $50 million to $100 million range. Continuing on with our recent accomplishments. My first 90 days as CEO are now complete, including upgrading people and processes, while accelerating the culture of compassion meets profitability. With these enhancements in place, we can concentrate on executing on our strategy. In March, we took a significant step in strengthening our leadership team by welcoming Anne Bailey as President of our ModivCare Home Division. Anne is a highly experienced healthcare executive with over 25 years of industry experience. Having served most recently as a Senior Executive and Group Vice President at DaVita. We're thrilled to have someone of Anne's caliber onboard and she's already making a substantial impact on our home organization. Regarding our own ongoing CFO search. I cannot compromise on building a high-performing leadership team, it's essential to find individuals who not only excel in their roles, but also contribute to the overall cohesiveness and performance of the team. Our search for the new CFO, remains a top priority and we are committed to finding the right person. Before, I hand the call over to Ken one of our key leaders within the CFO organization to discuss our first quarter financial results, I want to extend my sincere appreciation to the entire ModivCare team. Their relentless dedication, hard work, and unwavering commitment to excellence has been vital to providing top notch supportive care to our 34 million members. I also want to acknowledge the substantial changes we have made over the past few months and I am grateful for the team's commitment to operational excellence in their active participation in building our unique culture of compassion meets profitability. I am generally proud of the accomplishments we've achieved together. I'd also like to extend my heartfelt thanks to our valued customers and key partners for their unwavering support and collaboration. We have made deliberate changes in how we engage with our customers and key partners and the results are evident in how we are continuously improving together. I'll now pass the call to Ken, who will provide an overview of our financial performance for the first quarter.
Ken Shepard: Thank you, Heath and good morning everyone. First quarter 2023 revenue increased 15% year-over-year to $662 million, driven by 17% growth in mobility and low-double-digit growth in our home division. Net loss was approximately $4 million, while first quarter adjusted EBITDA was $50 million, which was flat year-over-year and in-line with our expectations. NEMT first quarter revenue of $469 million was driven by a 5% increase in average monthly members and a 12% increase in revenue per member per month. Transportation cost per trip decreased 1% sequentially, due to early successes in our multimodal partnership model. We remain focused on our mobility initiatives to reduce unit costs and drive efficiencies, which will continue to improve performance, increase member satisfaction, and lead to better outcomes. We expect the benefits from these initiatives will ramp throughout the year. Trip volume for the first quarter increased 5% sequentially, while monthly utilization per member increased to 8.1%, compared to 7.5% in the fourth-quarter, partially due to anticipated impact of normal contract attrition from lower utilizing customers that occurred in Q1 as we mentioned last quarter. As a reminder, there was no impact from redetermination during Q1. NEMT adjusted EBITDA for the first quarter was $35 million, down 5% year-over-year due to increased service expense per trip, while we kept adjusted G&A expense flat sequentially. We expect to realize additional operating leverage throughout 2023, from the initiatives Heath mentioned, which will help drive sequential EBITDA improvements. Turning to our home division, first quarter, personal care, revenue increased 9% year-over-year to $174 million, driven by 4% growth in hours due to improvements in our caregiver recruiting and retention efforts, as well as a 4% growth in revenue per hour. After experiencing very strong reimbursement growth in 2022, we expect the reimbursement environment, will be in a more normal 3% to 5% range this year. We expect service expense per hour could be at the higher end of this range as we focus on caregiver growth as demand for personal care services remains very high. Personal care adjusted EBITDA for the first quarter was 17 million or 9.8% of revenue. As our initiatives build to build for scale and grow the business continued to gain traction, we expect personal care margins will gradually improve into the 10% to 12% range. In our remote patient monitoring or RPM segment revenue increased 35% year-over-year to $18.7 million, driven by favorable contribution from our 2022 acquisition of Guardian Medical Monitoring. RPM adjusted EBITDA was $6.5 million for 35% margin, which is in-line with our long-term margin target. Our monitoring business continues to perform well, as we expand into new states, supporting our projected growth rates. Turning to our cash-flow and balance sheet, consolidated cash-flow from operations in the first quarter of 2023 was the use of approximately $3 million, due to a $7 million reduction in contract payables and $31 million increase in contract receivables. Excluding these items, our cash-flow from operation would have been better in the first quarter by $38 million. The increase in contract receivables, which represent under payments and receivables on certain contracts with reconciliation or risk corridor provisions was higher than our expectations in the first quarter. However, we will be collecting on these receivables later this year, which will contribute to stronger cash-flow in the second half of 2023. Our contract payables, which primarily relate to overpayments and contract liabilities on certain NEMT contracts were in-line with expectations in Q1 at a $7 million reduction. However, we have one large settlement during the second quarter that we previously expected will be spread throughout the year. This will likely result in cash-flow from operations in Q2 being in a similar range as the first quarter. For all of 2023, we continue to expect our contract payables and receivables will be much less impactful, compared to last year. However, our cash-flow generation will be more second half weighted due to these timing issues. We ended the first quarter with approximately $13 million in cash and had $15 million drawn on our revolver, our $1 billion of long-term debt was flat sequentially and remains all unsecured debt at fixed rates. Our consolidated pro-forma net leverage declined sequentially to 4.2x as of March 31, 2023. We continued to target net leverage of 3x, which we expect to achieve in 2024 through a combination of debt reduction and EBITDA growth. We remain committed to a disciplined and balanced capital allocation strategy with the primary focus on de-levering our balance sheet. This morning we affirmed our 2023 adjusted EBITDA guidance of $225 million to $235 million and our revenue guidance of $2.575 billion to $2.6 billion. The comments Heath made on the call should help you bridge to our full-year guidance. We think the current consensus estimates are a fair approximation for the quarterly cadence for the year and we remain confident in our long-term targets of $3 billion of revenue and $300 million of adjusted EBITDA in 2025. To sum things up, our first quarter results were in-line with our expectations and we continue to see the benefits from our strategic initiatives that will drive efficiencies and operating leverage going forward. Our team is working hard to win new contracts and grow the underlying business. Before we open the call to questions. I want to thank our entire organization for their hard work and dedication. It's because of them that we were able to produce these solid results, while helping provide high-quality care and the best experience for our members. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Brian Tanquilut from Jefferies. Go ahead, Brian?
Brian Tanquilut: Thank you, good morning. Congrats guys. I guess, Heath, I appreciate all the color you've given, especially in re-determination. So, maybe I'll ask the question that we're getting a lot of, so, as utilization picks up and obviously you have your PMPM contracts with your payers, I know on the downside of utilization, you had to reset refund or rebate to some of your payer clients, but maybe if you can walk us through how we think – how we should be thinking about the opposite of that like the beds and maybe what mechanisms are in place to protect you if there as utilization and broader volumes pick-up on NEMT? Thanks.
Heath Sampson: Yeah. So, the utilization increases like we've been saying for a while, have been steady increases as we come out of COVID in more normal trip volume takes hold and that continues to happen. The other thing and we talked about this today, primarily we're talking around redetermination. But in general, our contracts that we have reset, renegotiated to ensure that it's a win-win for us and the customer, as well as you see that now full-risk is down to 20% of our mix versus pre-COVID 60%, so those structural changes in our contracts allow us to grow with our customers and utilization being as planned. So, that's a good thing from a structural perspective. The one thing that we have to do and have been doing to ensure that we can make sure that our margins get back to where we want and at the higher range in mobility side it's two-fold. It's the transportation costs, and those initiatives are taking hold. That's again narrowing the network and ensuring that we are with our most – the partners that match what we need for that specific member. Those initiatives are taking hold and that cost will come down and then the other item. Well, there's three items. The other item has to relate to get majority of what we do today, is still phone calls with our members, so just common technology whether that's IVA, IVR, text messaging app and bringing that down to a normal range is they're going to allow us to save – to save funds and we're seeing that benefit right now. It really starts taking hold both of those in, kind of second-half of this year, but in-line with our expectations on the execution plan, which is probably the most promising thing because we know it's working and we just need to execute on that. So, the contract, the way we've restructured them, coupled with these initiatives that are taking hold, coupled with where we think utilization has been, all those together are showing that it's working, and our plans are taking hold. So, we feel really good about that business. The other item and this is more strategic. The conversation around how important trips are to healthcare continues to accelerate. The obvious ones are dialysis, but across-the-board, the people that need transportation are usually the most sick or the most needy and those conversations primarily with our payers are showing the transportation is really important. I'll tie it back to that. That's why we're able to change your contracts. That's why we're able to and I've said this before, not be apologetic around making a 10% to 12% EBITDA margin. So, a lot there that I answered, but hopefully that answered your question, Brian.
Brian Tanquilut: Yeah. I really appreciate it. I guess my follow-up is a separate topic. In the past, we've talked about contract was and what that pipeline looks like, maybe you can just share with us some of the discussions you're having and what the landscape looks like for RFP and potential wins as we look into 2024?
Heath Sampson: Yes, so that's been a major focus for us and we've made new hires and changed the structure on how we go-to-market, proud of the teammates that are our client service group, as well as the new hires that we made, I call them the hunters, there are really new business, again the announcements that we made today. A few of those we weren't even talking to a few months ago. So, the value proposition, coupled with our go-to-market approach is taking hold, where we have a large MCO that we never talked to before, now we have a national contract. The pipeline is full, it's real – it's a real pipeline that's full. So, now I couldn't be more proud and excited about what we're doing on the new sales side across the country, so it's not just a one person approach, it really is a multi-pronged enterprise approach with relationships at the top with relationships all the way down to the state-based individual procurement level and the team is doing well and the traction is beginning, and I expect that to accelerate throughout the year.
Brian Tanquilut: Awesome. Appreciate it. Thanks, Heath.
Operator: Our next question comes from Bob Labick from CJS Securities. Go-ahead.
Bob Labick: Good morning, thanks for taking our questions. I just wanted to maybe dig in a little further, just follow up on kind of the last two answers you gave and you've given us so much information today, I'm still trying to digest it, but thank you for all the information. So, you've mentioned some new wins and congratulations, that's awesome. You also said, redetermination over X period of time, six quarters or something could have a 10% to 15% impact on membership have a 10% to 15% impact on membership. And then you said you you'll grow members, and so is, the growth from new wins getting you back to flat? Meaning, is it like offsetting the 10% to 15% or is there like absolute growth by the end of this period or how should we think about member attrition and addition and timing it over the next two years? Just to give us a sense how this plays out?
Heath Sampson: Yes, so the – you have to break it down kind of per year or number of quarters that we've laid out there. So, for 2023 the way we have talked about it consistently if redetermination happens like – we think it's going to happen in the latter part of the year, our new wins are going to offset that. So really, it's flat, and you can see that revenue is flat. But the new wins that we're having now and expect to have throughout the year, those start coming on in 2024.  So, even though redetermination will continue into 2024 for those new wins will outgrow that. Coupled with others like Medicare Advantage as well. So, it is expected after – through 2024, and of course, into our 2025 targets, we will grow above the redetermination impacts. There's also – the other thing with redetermination that's talked about, and we talked about it too, is [indiscernible] growth amounts as well. So, we do expect the Medicaid gross to kind of be in-line as well. So yes, just normal Medicaid growth, MA growth and then our new in growing above, so that's the – that's why we feel-good about those targets and growing above redetermination.
Bob Labick: Okay, super and then you gave us a little more details on, kind of new contract structure today as well. I think you said full-risk is now 20% versus 60% before COVID. And maybe just again take a half step-back and explain the difference to the structure now and obviously, the benefit to you and to the States and to the users, everyone involved and how these new contracts are going to be better going-forward?
Heath Sampson: Yeah, so COVID and really when I got here a couple of years ago, really highlighted that we had a misbalance in these contracts. We did very well at the expense of our customers in 2020 and 2021. Even before that, by the way in 2018 and 2019, it was the opposite. Our customers did very well and we didn't. So, when I got here, it doesn't make sense. Alright, it's this win lose relationship that was anchored on that kind of capitation that happened five to six years ago. The business in transportation in NEMT changed over these last 10 years. We were not, kind of caught up to this win-win relationship and you couple that with what has happened really over the last couple of years in COVID and continues to accelerate. I touched on this a little bit with Brian's question. Healthcare now realizes or has realized, but now it's an important focus, because we were able to track and have data. Transportation matters, it matters to people clinical outcomes eventually, so you put all that together, we have been enabled to change the contracts where we actually have a win-win relationship and as whether that's utilization or cost fluctuations happen we share in the upside and downside with that. So, the change to where we are today, I expect that to continue. So, 60% pre-COVID on full-risk, which full-risk again as we get a PMPM, and then we're responsible for everything, regardless of cost of utilization. Now, the contract has worked where there is a sharing within that utilization change or cost change. Again, I expect that to continue and that contributes again to the rigidness in our margin profile. And especially when we get to the high-end, when we finish off with these initiatives, like I articulated a little bit earlier.
Ken Shepard: Yeah, Heath if I can add to that, we see that going into these new contracts and procurement of all our pending wins coming up, so all the declines are moving towards, say, let's look at this from a shared risk perspective. So, we did see that bucket of our contract profile continued to grow.
Bob Labick: Okay, that's super. That's great news and I appreciate the explanation as well. I'll jump back-in queue. Thank you.
Heath Sampson: Yeah, thanks Bob.
Operator: Thank you. Our next question comes from Scott Fidel from Stephens. Go head.
Scott Fidel: Yeah. Great. Hi, thanks. I just wanted to start out, just appreciate the commentary on the CMS, Medicaid, [HCDS proposal] [ph] and definitely understand there's still a lot of wood to chop here in terms of getting to that the final proposal, but would be interested just, I know that you reaffirmed the 2025 3 and 3 targets, but we thinking sort of longer-term, if the proposal went into effect over four years, would that have any impact on your 10% to 12% margin target for the personal care segment, and it looks like in the first quarter you did around 22.5% gross margin? Would you have the ability, I guess to offset that if in terms of G&A, if there was a 20% margin cap for gross margins? I mean, clearly, there's probably going to be definitional, sort of flexibility from CMS, I would imagine around, but I just wanted to get your thinking on that long-term 10% to 12% margin target, if that is secure, if this proposal would go into effect?
Heath Sampson: Yeah, well, you set it up very well. So, the opportunity for us as this gets put in-place to ensure that we have things centralized, that the back-office and a lot of shared operations. The wonderful thing about personal care, the simplicity of hiring caregivers and servicing the member, it's actually free – it's relatively low-cost. The majority of that, goes to paying the caregiver. What's happening and we're still through this transition and it is same across the entire industry and for sure with Mom-and-Pop. There's a lot of administration cost within each of these offices. And the opportunity to take those costs away to free-up those people to hire and retain and service is right in front of us and we're – we're partway through that journey. So, yes, companies like us that really focused on that, invest in that, one platform, one system, centralized back-office, centralized core operations are going to be able to reduce their G&A cost and therefore make these margins that we have, we have talked about long-term. So, I feel really good about it. You can see in the script that I am, mostly; I am really bullish on what personal care does for our country and CMS sees that. This proposal coming out, I view as a good thing, though there is a little disconnect that you talked about right now is a, kind of 2% difference, that's going to be worked out. Companies with sophistication and scale are going to do very well here. So, yes, I feel-good about our long-term margin. I'm excited about what this industry is doing. And we'll see how these next number of quarters and years payout on those regulations, but again, I think it's all positive.
Scott Fidel: Okay and then just a follow-up question. I guess two number questions would be helpful. One, just on the NEMT side, to the extent you can give us some insight into how you are, sort of modeling the NEMT margin ramp, over the course of the year from that 7.5% jumping-off, [what I’d] [ph] hopefully trying to get our modeling as accurate as possible as we can on the NEMT margin. And then on operation operating cash-flow. I know you guys sort gave us some updates on the impacts for the second quarter might be helpful, if you have a full-year view on operating cash-flow, in terms of your 2023 expectation there now? Thanks.
Heath Sampson: Yeah, so the operating cash-flow is, I think consistent what I talked about in the past around now – and the clarity that we talked about a little bit, but I'll be more specific around that the Q3 and Q4, is really where we get the working capital, kind of big fluctuations happen in Q1 and Q2, and there'll be more normalized in Q3 and Q4. So that adjusted EBITDA less CapEx, less interest will fall more to the bottom-line so that's kind of 100 million-ish run-rate free-cash flow is the right way to think about that. But really that kind of starts happening more clearly in Q3 and Q4. From a margin perspective on mobility side, it's two-fold, it's the cost per trip that we pay. That has improved and I expect that to accelerate throughout the year. And that again, that's – that's on getting the right members and the right modality to our members at the right cost and that's working. And I expect that to be, kind of ramping throughout the year at the current pace that it is.
Ken Shepard: The other component of our service expense is calls which Heath mentioned earlier. So, as we ramp those down through the initiatives in the second half of the year, we'll see margin benefit from that as well.
Heath Sampson: Yeah, you can see, we have 20 million-plus call, majority of our interactions are calls. So, you can see that that lever is a big lever that we are pulling and we're seeing that traction, and it will accelerate through the year. So tangible actions taking hold, I expect that to be kind of a consistent ramp, but more importantly and probably in Q3 and Q4, accelerating as these initiatives take hold.
Scott Fidel: So, where would you see that, that sort of margin, obviously your longer-term range is 9% to 12%. You see those initiatives playing out, where sort of the exit-rate on the NEMT margin that you would be thinking about in 4Q let’s versus 7.5 in 1Q?
Heath Sampson: So, from where we are, the X rates still could be on the lower end of our range, but really accelerating. So, I think the right approach for where we are is to think about it being on the lower-end of our range as we are exiting this year.
Scott Fidel: Okay, all right, thank you.
Operator: And our next question comes from Pito Chickering from Deutsche Bank. Go ahead Pito.
Pito Chickering: Yeah, good morning, guys. That's two part question. So, a little more detail on Scott's question, but so more specifically looking at the two lines of NEMT margins. The purchased services is down because of the use of the preferred providers. But then the payroll taxes were up sequentially, so specifically [indiscernible] two components, kind of where does purchased services end in the fourth quarter and then where specifically does the payroll and other cost per trip end in the fourth quarter?
Ken Shepard: Yeah, so just to be clear, the purchase services are going to be related more to the transportation cost and the payroll and other is primarily where you're going to see benefits coming from the reduced call volumes. And so, yeah, I can let Heath share a little more commentary on that.
Heath Sampson: Well, again. I think it's the same that I just talked about with Scott. I expect those to continue to increase to the improve those margins combined with that, getting us to the lower end of our range on the EBITDA side of, kind of that 9% to 10% exit rate.
Pito Chickering: Alright, Fair enough, and then a follow-on Brian's question just to be clear here, as the NEMT utilization increases with the new contract structure you guys have, is that an EBITDA dollar increase and how should we think about increase of utilization relative to EBITDA margin on NEMT?
Heath Sampson: Well, so. And that's always the challenge on our contract, as you know this, Pito, right. So, when we talk about the margin percentages that we talked about, there's a lot of things that happen within that based on our current contract mix. So, in some areas when cost goes up, that affects our revenue line, but doesn't – it actually hurts our percentage line, so but – so that's why, based on the mix we have, we think that we're going to improve the margin percentages in a consistent way based on the cost-cutting that we have, based on the utilization in the contract mix that we have to happen. So, what was the – ask your question again to make sure I answered it.
Pito Chickering: Yeah, no, I mean, because these contracts have changed, I guess the question is, just sort of very-very simplistically, if the [indiscernible] increases that is now a more revenue driver therefore, should we see increase utilization as an EBITDA dollar increase or, maybe more of a margin pressure, but EBITDA dollars go up?
Heath Sampson: Yeah, okay. So that's what you see here right now. Yes, that's the nature of with our current contract mix when – if expense goes up, we share in that and a lot of that goes to the revenue line, but the cost line is also going up. So, the percentage will be down, but the dollars are good. So, you're right, you're talking, -- you're thinking about it just right, dollar-wise we are strong, and you see that, but percentagewise, because of our contract mix, now, could be more compressed as we move through this year. But that being said we see what's going to happen in utilization, we see what's going to happen with contract wins, which is why we get back to those margins that I already articulated, and I expect those to improve based on all the initiatives that we have as well. To offset that contract mix phenomenon that you just articulated.
Ken Shepard: Yeah, I think the contract mix-shift is beneficial to us, providing [that] [ph] protection. So that as we do get that payroll and other line, rest through reduction of call volume, that's where you see the margin percent benefit.
Pito Chickering: Great, thanks so much.
Operator: And our next question comes from Miles Highsmith from Deutsche Bank. Go ahead, Miles.
Miles Highsmith: Hi, good morning, guys, thanks for taking my questions. Just had a couple. I was wondering for 2023, you talked about operating cash-flow. And you talked about the contract line items around the payables and receivables together having an impact of roughly $38 million for the quarter. I know you've given some directional comments, but is there anything you can give us in terms of a full-year expectation related to that 38 million? What would that look like on a full-year basis?  And then my follow-up is, you talk about on the redetermination side. If I'm hearing your comments earlier right, Heath it was some of these guys that are going to fall-off might be, lower acuity and I think you made the comment that could have an impact in terms of type of trip or the number of trips. I was just hoping you could revisit that a little bit, is it right to think that like these are patients with fewer trips and that's why the average hit might be less to you than if it were an average member and then if there's anything you'd be willing to quantify in terms of trips per patient or anything – any way we could look at it as we kind of model that in, that would be great? Thanks.
Ken Shepard: Hey, Miles. This is Ken, I'll take the first part of that question on the contract receivable payables. So, we do see the increase in the receivable side of that in Q1, combination of cost and utilization and the protective nature of our contracts. We expect that to level-off as the collection side of that normalizes in the second half of the year and we do have payables coming down throughout the second half of the year to normalize as well. So, you should see that level-off in the second half of the year as we expected.
Heath Sampson: And then on the redetermination and the – our disclosure around the redetermination is primarily people that aren't utilizers. The reason why we disclose that is similar to the question that Pito had. It explains why from a utilization perspective, you could see that being higher, because that's the phenomenon of people going away, they don't take trips, but the reason why we also talked about our contract mix, you see that being shared. So, even though utilization is up, you're seeing that being shared in the way our contracts are structured. So, it's helping you model the coming out of COVID with redetermination and showing that our contracts actually work. So, even on what Ken just talk about the increase in receivables is right in-line with how we organize these contracts and they – out of the, we had a lot of noise with paying back COVID expenses in 2022. Those now are done. Now you see the normal fluctuation between receivables and payables that are happening here in 2023. We still have a little bit of noise that's happening in Q1 and Q3 on COVID stuff, but the majority of our working capital fluctuations as evidenced by what Ken just talked about, has to do with the way our contracts are set-up.
Miles Highsmith: Got it. Thank you very much.
Operator: And our next question comes from Mike Petusky from Barrington Research. Go ahead Mike.
Mike Petusky: Good morning.
Heath Sampson: Good morning, Mike.
Mike Petusky: Hey. Couple of people sort of asked about this and I feel like they've gotten to the two-yard line, one-yard line. I'm going to try to get this over the goal. You talked about free-cash generation look, heavy CapEx quarter, you're about 16 million negative free cash at one-time – at one-time, and I understand what we've talked about are the receivables and the payables but at one-time we're talking about 80 million, 100 million of free-cash generation this year. That does not look like it's going to happen. To me, it feels like free-cash probably would be somewhere close to flattish, maybe in the second quarter and then and then more normalized after that which would, sort of lead to maybe 30 million, 40 million of free-cash generation this year. Can you just sort of comment on sort of the math on [trying to] [ph] sketch out there? Thanks.
Ken Shepard: I think you're walking through a decent way of thinking about the first half of the year, but then as we think about the second half of the year, we will also benefit from the reversal of some of these, build-in receivables, we're going to be collecting on these receivables in the second half of this year. And so that's going to be from a working capital perspective, a benefit. And then – then you also have the typical, I think what Heath is referring to in terms of normalization is that, you'll also have this benefit of just EBITDA less CapEx and interest in the second half of the year. And so, I think to that range, that you've given of, like the 80 or 100, it's probably going to be in that range depending on how working capital really shakes out through the rest of the year. But, yeah, like we're feeling very confident that as Heath alluded to the contracts are working as they should be and really the cash-flow generation is going to be accelerating. So that's all good stuff.
Heath Sampson: Yeah, but Mike, you could see that – on your CapEx question was right. CapEx was a little bit higher. The biggest drivers, the fluctuations in our working capital-related to our payables and receivables, that was a $30 plus million swing just in this quarter and that can wipeout or add to a specific quarter. So, when you normalize all that, we will be back in that $80 million to $100 million run-rate, when you look at it as a whole.
Mike Petusky: Okay, yeah. I just really want to drill down on that. I understand $80 million to $100 million run-rate, but not $80 million to $100 million for the year?
Heath Sampson: Yeah, I think because of where Q1 is and Q2 is, I think that's the right way to think about it. Q3 and Q4 run rating at that amount, it could be higher than that, but that's your model and your rationale makes sense.
Mike Petusky: Right, okay. Yeah, so you're not going to be generating because what I was hearing was, you are going to be generating something like $45 million or $50 million of free cash each quarter in the second half, but that's not happening. Essentially, it's going to be more like 25-ish or 30 some – such numbers there.
Ken Shepard: And it will be dependent on working capital, [Multiple Speakers].
Mike Petusky: Understood, but that’s closer to reality as you guys see right now. Correct?
Heath Sampson: Yeah, that's correct.
Mike Petusky: Okay, excellent. And then just, sort of looking at the at the company overall. As we look at sort of the leverage you guys expect to gain, I'm assuming that relative to the first quarter, I'm assuming that most of that leverage comes on the service expense line, not on – like the G&A you've been you've been, sort of working at, but the real ability to, sort of move the needle is on the service expense, is that fair?
Ken Shepard: I do think it's both. We have made those changes on the G&A side, I expect those to continue. So, there is a lot of leverage on that service expense side as well, so I don't know, call it a third and two-third. Third being more leverage on G&A and two-thirds to that service expense side. So, it's both.
Mike Petusky: And then just in terms of – just last question, I promise. So, just in terms of the Matrix asset and sort of the talk out there around risk-adjusted payments and so forth, I mean, isn't it fair to say that even though I guess, the health assessment volumes have really grown nicely in Q1. I mean, isn't it fair to say that that uncertainty, sort of is going to weigh on any, kind of valuation when you guys do decide to monetize that asset? Thanks.
Heath Sampson: Yes, so risk adjustment, even with the changes that have happened, the risk adjustment rules and services are being refreshed items that were more important two-three years ago are less important now and other items are becoming more important. Risk adjustment, risk assessment will continue to be an important part of what the healthcare world needs and payers need. We are the second, Matrix is the second-largest risk adjustments company. The opportunity and growth similar to almost personal care. The limiting factor is really hiring nurses. So, the noise that is in the changes that have happened within the rate, the changes that have happened in the services, yes, are an item that companies need to overcome, and Matrix will overcome those. The bigger benefit is the volume that's going to be out there and continue to be out there. Companies that can hire and retain can have scale and can actually penetrate and perform at a higher rate because of process and technology which Matrix is doing, that will outweigh the noise that's in the system around the changes that have come through and expect to come through. So, yes there's challenges. But the opportunity far outweighs those challenges.
Mike Petusky: Thanks, very good. Thanks guys. Appreciate it.
Operator: Thank you. That is our last question. At this time, I would like to turn it back to Heath and Kevin for any closing remarks.
Heath Sampson: Yeah, thank you for participating in our call this morning and for your interest in our company. Our updated investor presentation and quarterly supplemental deck are posted on our Investor Relations website. If you want to schedule a follow-up call please call Kevin Ellich, our Head of Investor Relations. We look-forward to speaking to many of you over the coming days, weeks, and months before we report our second-quarter results in early-August. Thank you again and have a great day. Operator this concludes our call.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.